Kurt Mueffelmann: All right. Great. Well, good morning, everybody. Welcome to archTIS's first half of fiscal '26 update for the period ending December 2025. I'm Kurt Mueffelmann, and I'm joined by our CEO and Managing Director, Daniel Lai. We generally don't have these types of updates on the first half results, however, given the level of excitement around kind of the defense sales pipeline and technology motion, we thought it would be a good opportunity to kind of address the market and really create more excitement about where we see the market opportunity and the business going today. So during today's session, we'll update you on the half year performance, provide an in-depth financial review, update the U.S. DoD opportunity, somewhat of a resurgence that we're seeing in the Australian defense and a big military alliance win. We'll also discuss the go-forward strategy around market focus and growth, surrounding a really exciting topic around AI and the effects in the markets, product and sales opportunities. Why don't I kick it over to Dan for a quick minute or 2 overview on the first half of the year and just kind of overall thoughts?
Chun Leung Lai: Yes. Thanks very much, Kurt, and welcome, everybody, to our half year update. Look, it's been a very productive first half of the year. And I think that, obviously, with the acquisition of Spirion has been very active, but I think the most pleasing aspect of all of this is that we've completed that integration. We've identified synergies in terms of savings, and we're seeing the pipeline grow. But most importantly, we're seeing active deals come out of this process and the execution. So the activity in the marketplace has certainly increased as well, which is giving us a lot of confidence. And of course, our execution in that defense and intelligence marketplace is very, very promising for the rest of this year.
Kurt Mueffelmann: Great. So why don't we go through -- so the first half of fiscal '26 we really saw scalable changes, obviously, with archTIS with the inclusion of Spirion and its successful completion, as Dan said. ARR reached $16.3 million, while the prior comparative period for revenue grew 120%, to $6.1 million. We've really seen strong gross margins where it's increased 124%, to $4.6 million, which shows the operating leverage we've continued to talk about quarter after quarter, really driving that scalable higher-margin software. Operation expenses was $7.6 million, excluding acquisition-related items. This included, and we'll look at this in the appendix, an additional $2.9 million of nonrecurring transactional expenses from the acquisition. Again, we really detailed that and broke that out below the line from the acquisition costs and where we see the business going. And additionally, as we mentioned at the end of our quarterly 4C, we've created integration synergies that are expected to be close to $4.5 million in cost savings during 2026. So I think we've done a really good job at not only managing where the business goes from an integration standpoint, but also really managing that cost and looking for those synergies across the business. And as we announced yesterday, we also strengthened our balance sheet with another $8 million through a CBA facility, providing nondilutive capital to execute our growth strategy. So these results position us really for that accelerated ARR expansion, improved margins, and continued scalable growth. So Dan, any comments on the actual quarter from a financial standpoint?
Chun Leung Lai: No, no. I think that we -- had a strong performance there. And obviously, now it's about accelerating the growth moving forward.
Kurt Mueffelmann: Yes. I think -- I'd urge shareholders to really look at that appendix around the $7.6 million of acquisition-related items. I think there's some really strong work that was done there by our CFO, Andrew Burns, and the integration teams and really how we're driving that forward. So we feel like we're really in good shape from a cash as well as from an operating expense standpoint heading into the second half of the year. But at the end of the day, we know expenses don't drive business. I think I've been caught on making a statement or 2 about sales previously. So Dan, why don't we update everybody on a little bit about the sales opportunities that are out there, and really, the exciting one, I think, that we have on the right side of the slide here that's just closed earlier this week?
Chun Leung Lai: Yes. Obviously, we've just made the announcement 24 hours ago. But a global military alliance or what we've described in the announcement as the U.S.-European military alliance. I guess, there's not too many of those, so I think we can work it out pretty quickly. But NC Protect, to be able to do the policy enforce data-centric security, and it is with that organization and obviously has a lot of member states, and we see a potential growth opportunity inside that. But it is a strong win. It has followed a life cycle of a proof of concept, engagement, competitive process, of course, which we have announced that we are the winners of. So I think that is -- one of the foundation building blocks of this year moving forward is this conversation about how we become the preferred provider of data-centric security for military alliances across the globe. And we're seeing how important that is with the activity that's going on around us constantly and the amount of money that's being increased in terms of the spending. What I'm happy about seeing now is the urgency from some of these clients to get these things completed. And that's certainly something that's been out of our control. We've been saying to shareholders for a period of time now it's coming, it's coming, believe us. And we're starting to see that action on the defense side now globally. So that's really, really important win. And of course, a massive, massive client to be successful with. So that's good. Obviously, everybody else wants to know about what's going on with this U.S. DoD deal. What's exciting for us is, again, I keep saying this, we are in constant contact with them, and we are confident about this deal coming to completion. Timing, yes, still working through that. Sometimes they get distracted with things like activities in Iran and discussions that are going on there. But that also gives you an indication of where this is really being deployed and being tested. It's at the cutting edge here, and get this right and it's going to definitely explode in terms of growth across that department if it's successful. So we're very excited by that. We know the tranche is still out there for the 125,000 users. We are making progress. It has been deployed, and we're just waiting for feedback on how those activities are going. But I think in the short-term, we will see something happen there. And finally, the Australian government in terms of their Department of Defense, I'm really pleased to say that we've completed a TDI, trusted data integration, which is really the foundation of what we discussed at the last 4C webinar of becoming a platform. This was off the back of that Direktiv acquisition in February. And of course, we've done a trial there. It is the foundation of the NEC deal in Japan as well. So we're seeing real traction with this, and we're really kind of excited about where this is heading and the interest from departments, military organizations on this product as well. Kojensi has also come very active. We've got signed up recently a couple of different resellers, one in the U.K. and one here in Australia that want to attack that defense industrial base and make it an offering to the market. So the activity there is strong. Spirion data protector, that's another defense industrial base, but it's for shipbuilding activities. You can guess there's a couple of major programs being highly invested in Australia currently, one in Adelaide and one in Perth, and they're looking at deployment of this and how do they secure their data across that. So we're very excited about the current opportunities in the pipeline. Again, all of these nuggets promote us as the #1 option for data-centric security across defense and defense industrial base. And I'm very happy that we're seeing that execution across that strategy.
Kurt Mueffelmann: Yes. I think one of the highlights I'm personally seeing being on a lot of the calls across the enterprise as well as with the defense coalitions is really the interest in the model that we brought to bear on the kind of Spirion and NC Protect integration where we're going from identifying to labeling to enforcing to governing. That methodology is really catching on. So you see it with the shipbuilding infrastructure. I'm up in D.C. next week talking to Microsoft about that and how our Microsoft message with SDP, which is Spirion data protector. And Purview is a better together story. And we're going to be talking to about half a dozen different devs that are out there currently. That latest global military alliance win, that next step could be Spirion opportunity that we're looking at, because again, everybody needs to identify the data before they can do anything with it. You can't do anything with it unless you know what it is. So we're really seeing that traction out there. So I'm really pleased to see that. And I know, just from a pipeline standpoint, that we continue to have constant demos, consistent pipeline building on it. And I think there's even one or 2 different webinars that may be online if our investors would like to check that out. So really exciting stuff there with Spirion that's going on. So I think one of the things that's really -- we're seeing hard, and we want to spend a little bit of time on this within the markets. We're doing some work with a number of investment bankers in the U.S. And so -- you see what we're doing with the U.S. DoD. You see what we're doing with Spirion. You see the level of investment that we're making in the U.S. itself. So we're getting some really good professional feedbacks from people that have feet on the ground here and have really looked through where the business has gone. And you saw the market take a crash a couple of weeks ago, and it was really around this, hey, can AI replace the whole SaaS ERP, security, what have you. And so it's going that structural reset where software companies based on AI readiness and system-level importance rather than this traditional SaaS growth. And we're seeing the model shifting a little bit to what can AI do across the business? and so when you look at autonomous agents and how they work. So we look at this chart, and I thought this is a really big chart. And it's pretty complicated. So if you're into the quants like I am and into where valuations are about the industry and competitors, really look at this because I think what we're seeing, and my personal belief is you're seeing a decoupling of where traditional SaaS companies go and where AI agents and where AI as a valuation within a business come into play. And that's something -- Dan and I were on a call. Boy, it must have been 2 days ago at my 2:00 a.m. in the morning. It's one of those 2:00 a.m. you can't sleep type things. And we're talking about AI and the strategy that we're bringing to bear. And so we want to talk about this as it relates to the market, but I think it's also more important how we present AI across the business. So Dan, from a strategic standpoint, let's talk about the kind of the 3 stages that we see as a business and then how we bring that into play from a revenue and scalability standpoint?
Chun Leung Lai: Yes. Look, AI means different things to different people, and there's a lot of, I guess, hype around it and what it's going to do and people are still feeling their way through it. But in the areas that we target from a market perspective, where it's classified information or sensitive information, there's a real concern about how AI is introduced into those highly regulated industries. So -- but overall, there's also the promise of productivity gains for the archTIS themselves and how -- and also product enhancement. So we've taken a 3-activity approach. These things will run in parallel. So first, of course, is how do we make our teams more productive and deliver product faster to the market? How do we accelerate? What we're doing in every aspect of the business from marketing to finance to product development, to testing, all of those things? That's the first activity. And we have got a strategy of how to implement that. And obviously, we are trialing our own different use cases for AI. Activity 2 is product innovations. How do we embed AI into our product offerings? And a good example of that is, when we have to write policy rules which match against compliance frameworks, can we automate that process, have a lot of those things out of the boxes and have that translated into plain English? Can we test those things before they get deployed and inform the user and make it much more friendly from that perspective? And the activity 3 is, what can our products do to make organizations feel more secure about adopting AI and how it gets implemented across their enterprises? And I think that's really the big, big opportunity. We previously discussed that we're going from best-of-breed to a platform offering. And one of the things that we really saw early on with the Direktiv acquisition and the launching of trusted data integration is its ability to manage AI and where it gets published and what information and services it transacts on. And that ability was -- we identified very early as part of the foundation of building out the platform so that we've got an offering to help highly classified areas or sensitive IP or manufacturing or help understand how they control and adopt AI into their organizations securely and having it governed. Do you want to add anything to that, Kurt?
Kurt Mueffelmann: Talking on staff, I think it's -- the fun part is, I think the first one is we're getting people coming into the business, all employees and contractors coming in and saying, how can we help, how can we deploy AI and make us more efficient, more productive, whether it's support being more proactive to customer needs, whether it's sales going through pipeline and looking at each opportunity and really going in and digging, whether it's IT or operations, everybody across the business is looking at that, and we're promoting that very heavily across the business. It's really creating a culture of participation and a culture of real drive to really look at how do you peel the onion back to see how can we create and maybe lower things such as operating costs, how can we become more effective, how can we do more with less, which is something we always see in microcap companies. And that will obviously drip through -- all the way through how we're doing that development. As Dan said, the AI market readiness is where we are today. And we're seeing kind of a number of kind of Open AI issues that not a lot of people are dealing with. And so Dan, we've talked about this. We've talked to, I would say, half a dozen different customers and prospects about their challenges. So why don't we talk a little bit about the challenges that those customers are seeing?
Chun Leung Lai: Yes. Look, it's very, very true that it's very easy to talk about the benefits. It's very difficult to implement it and get those benefits, measurable outcomes for the business. So one -- the first one is, obviously, when you have an AI which can make calls for services and to data resources, how do I know I'm getting the right data exposures and I'm not creating data leaks? That's very important to the customer base that we deal with. So uncontrolled data exposure is a big issue, and it's something that they fear a lot. Compliance. How do they make sure that they're adhering to the compliance requirements? Again, defense industrial base, which we deal with, they're regulated a lot by information, trade and arms regulation controls. How do they know that, that information is still being adhered to in terms of the compliance requirements, which have massive penalties for them to do? Data boundaries. They just don't exist anymore. We've talked about this before, about customers operating in hybrid environments. They're using SaaS platforms. They've got information in the cloud. They're using cloud services. They've got legacy systems, this sort of thing as well. And how do I know what the AI and the MCP can actually call in terms of services and data? We've looked at all of these issues. We have to look at this also for ourselves, which is also helping us look at how we design our responses as well. And most importantly, I think when you integrate AI across the organization and start to add agentic agents, it's the nonhuman identities which become so problematic because they expand exponentially. So how do I also identify what services I'm calling? Where this information is going? So it's becoming quite a problem. And obviously, there's a very sweet spot. Therefore, if I can resolve that issue, there's a massive marketplace for products such as TDI.
Kurt Mueffelmann: Yes. I mean you look at that, right? We were on with an investor the other day, and they're like, "Oh, you're making a shift from data-centric security over to AI." And I said, "Well, they're really coupled together" because I think as organizations scale towards AI, the requirement is really shifting from that visibility to real-time policy enforcement. So we're going from data-centric or data security policy orchestration and leveraging that into AI. We're ensuring the right data is used by the right user, the right model, the right agent, and we're doing that by design. So I think it's a nice segue into, again, as we talk about valuations within business and we talk about that kind of the chart about decoupling where AI can go and coupling back -- that back into the archTIS message around data-centric or data security policy orchestration and how we leverage across AI. So if we start to look -- sorry, I double hit there by mistake. As we start to look about that, Dan, where do you see that? Because we talked that last time a little bit around the control plane where archTIS enables organizations to scale safely by delivering that single policy?
Chun Leung Lai: Well, again, it all comes down to context, and that's the biggest issue that people are trying to solve today. And it comes down to, as I mentioned before, that hybrid environment and having transparency about being able to govern all of those components together. AI cannot work in isolation to the rest of the organization, to the people that have to interface with it, to the other machines that have to interface to it. Having a single place that you can control and govern that information and put your rules in about how that information will be retrieved and in what context it will be released and how it will be released, how it can be used, becomes very much an incentive for all organizations to know that they've got a single point where they can control that. And again, we've talked about this. We're not here to compete against everybody. We're here to enable that to happen through security and governance of those services and of that data. And really, that becomes something where we have an opportunity to do that. And one of the early use cases, I might just add, for when we looked at Direktiv was -- and I think I've mentioned this use case before, was Viasat, which have all the U.S. deployments for satellite contracts. Now a young fellow there at Viasat puts some coding to be checked by ChatGPT and caused a data spill. So how do I use -- get the benefits of that AI and -- but also not publish -- know where that information gets published? I want to control where that information gets published. And in that particular case, Direktiv was used to intercept that and transfer that information to a secure place that it wasn't publicly available or be able to be reused by other users on that ChatGPT tool. And that's really where we're heading. As this gets adopted and Agentic AI really comes into it, we're going to see this -- the environments become more and more complex, which means they need a central place, which can interface into all of those aspects and be controlled through a single policy. That is what the purpose of the control plan is.
Kurt Mueffelmann: Yes. I mean we're providing that execution level control, ensuring that every interaction, output, everything that is going through is critically related to the governance guidelines of an organization. So we're not actually being the AI, but we're being that layer above. So we don't have to tie into specific engines. We're actually being that layer across all models and providers, really providing that security across that multimodal AI adoption, which we're really looking to play. So we really become that additional layer from a governance or that control plane that we drive. And that starts to lead us into kind of where we see the strategic differences and next steps where we think we can be that competitive differentiation around preventive control versus post-event, that data level enforcement, not just at the app layer that Dan talked about, become that neutral aspect or become Switzerland of where we can go from that neutrality standpoint. And Dan, talk a little bit about where we see the market opportunity through the growth vectors themselves?
Chun Leung Lai: Yes. Look, really, this is part of that land and expand. Customers already have made heavy investments in things like DLP management, data loss prevention, in this case, identities, Microsoft. And it's about connecting those things together so that they get full transparency in a single point of control. Large-scale defense programs out there, they're also trying to integrate and do interoperability. We've seen declarations from -- recently from the Japanese Ministry of Defense about deploying air service missiles on islands and these sort of things, but they can't work in isolation. They have to work with their allies and share that information. NATO is an excellent example of that, what they're trying to achieve and the U.S. DoD through the Five Eyes and AUKUS are 2 other examples of how do they do that. And then, of course, the supply chain for nuclear submarines, et cetera, they're all perfect examples of how we're doing this. But all of them are trying to adopt AI in all of these different areas to, again, increase productivity, do more with less, get more accurate results. And the thing that's stopping them is how do we do that securely. And that's where we see the opportunities really in this space. It's about integration and solving the integration and interoperability problem and playing that layer. And I think that, that's a niche where out of the 4,500 vendors, we are certainly in the lead on, we're certainly getting acknowledged, and we're certainly getting referenceability, and I think that that's what's really exciting. It doesn't change what we have to do today in the short-term. We have to win with the products we've got and win big awards and grow them from expanding to solve that strategic problem with them as we develop the platform out. And that brings us to our 3 horizons of growth, and you can talk through that, Kurt.
Kurt Mueffelmann: Yes. [indiscernible] The AI doesn't change the model, right? We still have the strategy that we're going forward with. It just adds another layer of what we believe we can differentiate and bring them to market. And so when we talk about the 3 horizons over the 6 to 18-month time line that we look at, where we have to deliver today. We have to deliver consistent earnings through stronger ARR, controlled operating expenses and what have you, right? And so we've talked already about the left-hand side of [ EU ], where are we updating across the U.S. DoD. We talked about the recent win for 2,500 users, which is just a small component of a major U.S.-European military alliance. That reassurance of -- kind of resurgence, I should say, of Australian DoD that we're seeing with a number of real pipeline opportunities, and we know pipeline opportunities in Australia are generally seasonality, which is Q3, Q4, which is now until June. That's where they've always fallen historically. Again, we're going up to see Microsoft on Monday. And Spirion we're seeing some really strong cross-sell opportunities, not only in defense, but we're actually seeing it the other way where the Spirion enterprises are actually coming to us and saying, "All right, now that we've identified our data for Spirion, how do we push NC Protect and how do we enforce that data?" And so really trying to defend and extend that base across where we are today and drive that. And that carries us into -- Dan, take us through horizons 2 and 3?
Chun Leung Lai: Horizon 2 and 3 are really about having that TDI function, all of those other services such as Spirion. When do I go out and do the discovery now? What do I do with it? I'll automate NC Protect coming in and protecting that. I'll take that and I need to set up an instant in Teams where only certain people can access that and I need to validate who's accessing that. It starts to become very automated, very machine-driven. And I might need some AI technology in there that's going to be doing certain services or repositioning captured data and regenerating that into a different view, context. Who can see that? Why can they see that? Where can they see that? And suddenly, you're starting to see that full picture. Finally, when we get all of that integrated completely, and we are building in other people's services such as BigID, Varonis, Microsoft, AWSs, when we can start to link all of those things together, you've got a platform which we're calling DSPO, and that can completely disrupt the market because what we then do is have all of those other providers' customer list is our potential customers. And that's where you get that real hyper growth based off the credibility that you've done in Horizon 1, the expansion of that strategic opportunity through the platform development in Horizon 2 and complete disruption in Horizon 3, where you start to own a particular niche market, which is being supported by all of the big guns out there. So that's really the nuts and bolts of that strategy. And I think you're starting to see now why we've done what we've done in terms of those acquisitions, why we see that data-centric security life cycle is being so important, and how that fits in and that IA isn't a threat. It's a genuine opportunity.
Kurt Mueffelmann: Great. Why don't we -- and as we look at a couple of questions, I know that -- a couple of questions already in here are around kind of, with the market consolidating, are you likely to generate takeover offers? And what are your thoughts around that in the business itself?
Chun Leung Lai: Great question. We're a publicly listed company. Obviously, if there's takeover offers, we have to consider them all and what's in the best interest of shareholders. Look, there is a huge amount of consolidation activity going on. We're not blind to that. We watch it very carefully. We obviously have plans, and we obviously have models that we look at where we think we're going to maximize shareholder value, but also what we think our potential is in the marketplace. But we need the offers. We will look at that forward to getting those offers, but I think that will be off the back more announcements of success and demonstrating a few more validation points in our strategy that we're executing. And if we do that, I have no doubts that we will be an attractive target to other large providers out there. Is that what's best for the company? We'll make those calls when we actually get those offers, but any offers, we may have to take seriously.
Kurt Mueffelmann: Yes. Listen, the market is consolidating out there very aggressively, right? We have to do what's right for the shareholders. But as we've shown through the acquisition of Direktiv as well as Spirion, we're not afraid to go and punch above our weight and go make further acquisitions if it fits what we need to do and it fits in the best interest of the shareholders going forward. Listen, Direktiv has brought us TDI, which we think is going to be really driving where the AI next stage goes. And Spirion is bringing us some fabulous ARR, which is scalability. It's bringing us that U.S. presence. Now that we're tearing the cost through it a little bit and blowing out the operating expenses, it's going to start to drive cash that will drive us into more investment in other areas within the business, whether it's additional product, whether it's additional marketing or what have you. So I think we're pushing the right buttons, and we're not afraid to make those acquisition decisions on both sides of the fence. Dan, so the next question -- I love this one because it's -- we talk about this all the time.  With the DoD opportunity -- I'll boil it down -- is the delay technical, budget or bureaucratic?
Chun Leung Lai: Technical, budget or bureaucratic. It's a great question.
Kurt Mueffelmann: How's D, all of the above?
Chun Leung Lai: All of the above. Look, let me put some some of these aside. It's not budget. I think we've confirmed that the budget is there and it's -- that they've already budgeted for this, which is a definite sign of intent, isn't it? It is bureaucratic. It's not so much technical, but we do keep coming across some technical things. And again, that's because the different -- there are different environments where this is being tested. When we talk about co-command is that co-command is very different to the central agency, which we're putting in and there's tweaks and those sorts of things. But I don't think there's any major technical obstacles. In fact, I think we've resolved most of those things through that piece of work that we did in terms of software configuration development and interoperability. It's really now just going through the hoops, getting through the process, and that's what's exciting to us.
Kurt Mueffelmann: Great. There's a couple of questions on the CBA credit facility and a little bit of, I guess, confusion around where that relates to the Regal that we announced at the end of last quarter as well and what the relationship between that is?
Chun Leung Lai: Obviously, with some of these delays, we want to make sure that we can continue to execute the strategy that we -- and with the momentum and accelerate that momentum. So we need to make sure that the business is well financed. We looked at the share price. We looked at -- we have other options to go-to-market to raise capital. We thought it was in the best interest of shareholders not to do that, that we should look at some debt facilities to get out of those bumps and little hurdles and delays. So we looked at debt facilities instead of going out to the market to raise capital, which was the objective of all of this. We looked at Regal. We already had established fund with CBA. We've got both available to us at this point in time. Now that we've actually completed and signed the CBA, we'll relook at the Regal facility as to whether or not we still need it. But at this point in time, we still have a terms of agreement signed. And if there's any changes to that, we'll make those announcements when they happen.
Kurt Mueffelmann: Great. Yes. Why don't we grab one more? How does Varonis on-premise transition impact your bottom line? And how are we dealing with that as we move forward?
Chun Leung Lai: Do you want to take that one?
Kurt Mueffelmann: Yes, I think so. So we always look at Varonis, right? Varonis, we look at as -- we look at a couple of companies as the North Star companies, want to emulate, fabulous growth, fabulous story. They've done a nice job in the data security posture management. And they are looking to go towards an all-cloud offering. And so that leaves them with the on-premise of a major significant share point market, file shares, on-prem, kind of [indiscernible]. And so we've taken a proactive stance. We've gone and done some competitive positioning against them from a webinar standpoint, going out there, playing the -- these -- the keyword search and really trying to drive SEO and pushing that. So we're seeing some opportunities where people come to us and say, "Hey, we feel abandoned." That's fine. If that's their strategy to go 100% cloud, listen, great companies are going in that direction, and I applaud them for that. But we really look at being the ability to grab all types of data in a hybrid environment, whether it's on-prem, whether it's in Azure, whether it's on AWS, Google or what have you. So we want to really keep that flexibility around those technology formats and bases that we have. So I think we're positioning ourselves well. The NC Protect, the Spirion do really well in those on-prem, off-prem environments and in the cloud. So we feel we can handle all those opportunities that are out there today. So we feel really...
Chun Leung Lai: I think it just validates our strategy. As these big companies move to consolidate their cost base and target on their markets with cloud-only solutions, it proves the point that the customers still exist in a hybrid world. And that opens up opportunities for us to do that value-add and extension from Varonis to working with their on-prem problems because they can't get off them quickly. They've got legacy systems. But it proves the point of the strategy that we're taking is a very viable strategy.
Kurt Mueffelmann: Yes. Dan, why don't we hit one last question, and then I'll pick you up with some closing comments. Spirion, how is that delivering new opportunities for the business? And where do you see that going in the near and mid-term future?
Chun Leung Lai: Yes. Look, Spirion is -- no, we acquired Spirion as a strategic acquisition to reposition the business into the U.S. Let me be frank about that. We see the opportunities with the U.S. DoD. We see that is creating not only accelerated revenue and increase in ARR, but also a reference point to also move into the commercial markets, to extend our relationships with Microsoft into other military alliances partners, et cetera, et cetera. So we need to have a base there which can execute that and is in the U.S. to support that. That's really where the desire for taking on a data-centric security company in the U.S. came from. The software that, that [indiscernible] is an added bonus. We've talked about the discover, classify, enforced life cycle and [ governed ] life cycle of data-centric security. They give us that ability to do that discovery. So that's a beautiful segue. And a good example of that is, one of those opportunities we put up there about the shipbuilding yards is that they've got 44 terabytes of data that they don't know how they should protect it. Spirion is a perfect play to take into that organization and do that data discovery. So it fits in terms of the model of the customer problem that we're solving. The other thing that's really good about Spirion is they can do on-prem as well as in the cloud, and that's something we've just discussed in that Varonis example. So I think they're going to add a lot to us. And of course, the final statement there is they've got 150 customers that are already investing in data-centric security, which we can cross and upsell to. And we are providing incentives to those customers to do that as quickly as possible. And we are discovering opportunities that -- not opportunities that are going to turnover in 6 weeks. So there's a bit of work there to get that machine humming. But I think we can do that, and I think we can successfully do that. We've done the cultural integration. We've done the systems integration. Now we need to get into that sales and really start to drive that pipeline growth. So I'm excited by the opportunity. It's an important acquisition, and I think it will pay its dividends, but it's just a matter of time to make sure that we get it right.
Kurt Mueffelmann: Yes. I would just add, I was up in Tampa earlier today meeting with Kevin Coppins and the team from Spirion. And you're starting to really see how it fits in. You're starting to see the adoption by the reps and bringing it into their sales pitch in the way that they can bring a fully integrated solution to market. It's just not a, hey, let's sell NC Protect or hey, let's sell Spirion. It's becoming this more integrated platform, which we talked about before. And you hear it on the sales calls. You hear it on the sales recordings that we listen to, for that. You hear it in the pipeline reports and what we're doing with forecast every week and where it goes. So I think you'll see more and more of that. And we're not going to be able to announce every deal, obviously, from the space we're in, but we're seeing good traction as we build the business through that. And I think it's a really good add of what we're doing. So Dan, with that, why don't we spend 2 or 3 minutes just wrapping up and summarizing up again the quarter?
Chun Leung Lai: Yes. Look, to me, I think it's been a exciting half year. I think we're reasonably happy with the results. You can always do better, you can always do worse. But I think we are in a solid position to push the business growth forward over the next 6 months. And I think -- and I often say this, but I'm expecting a good 6 months ahead of us in terms of the business and the execution. There are a number of deals just hanging out there ready to drop. And I think that, that's going to really change the perspective of the company to our investment base. I think there's a lot of people out there waiting and watching. And I think when -- if we can execute a couple of strong deals, which -- more validation points in our strategic direction and our strategic plan, I think people will start to truly believe, and I think that we'll see that reflected in activity in the marketplace supporting the company.
Kurt Mueffelmann: Excellent. Great. Well, thank you very much. And I'd like to thank everybody for your time. Enjoy the weekend. If there are further questions as you move forward through the financials and through the half year results, please feel free to hit us up at investor@archtis.com, and we'll do our best to answer as many questions as possibly as we can within the parameters set by the ASX. So enjoy the weekend, and thank you very much for your time. Take care.
Chun Leung Lai: Thank you, everyone.